Operator: Good morning. My name is Dan and I'll be your conference operator today. At this time I would like to welcome everyone to Lumentum's Fiscal First Quarter 2018 Financial Results. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Chris Coldren, Vice President, Strategy and Corporate Development, please go ahead.
Chris Coldren: Thank you, Dan. Welcome to Lumentum's first quarter fiscal 2018 earnings call. This is Chris Coldren, Vice President of Strategy and Corporate Development. Joining me on today's call are Alan Lowe, President and Chief Executive Officer; and Aaron Tachibana, Chief Financial Officer. This call will include forward-looking statements, including statements regarding the markets in which we operate, trends and expectations for products and technology, purchasing trends, Lumentum's expected financial performance, expenses, and position in our markets. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our current expectations. We encourage you to review our most recent filings with the SEC, particularly the risk factors described in our 10-Q filing for our fiscal first quarter ended September 30, 2017, that will be on file with the SEC later today. The forward-looking statements we provide during this call, including projections for future performance, are based on reasonable beliefs and expectations as of today. Lumentum undertakes no obligations to update these statements except as required by applicable law. Please also note, unless otherwise stated, all results and projections are non-GAAP. Non-GAAP financials should not be considered as a substitute for or superior to financials prepared in accordance with GAAP. Our press release with our first quarter fiscal 2018 results is available on our Web site, www.lumentum.com, under the Investors section, and includes additional details about our non-GAAP financial measures and a reconciliation between our GAAP and non-GAAP results. Our Web site also has our latest SEC filings, which we encourage you to review, and supplementary slides relating to today's earnings release. Finally, a recording of today's call will be available by 11.30 AM Pacific Time, this morning on our Web site. Now, I would like to turn the call over to Alan for his comments and first quarter business highlights.
Alan Lowe: Thank you, Chris and good morning everyone. This is a really exciting time at Lumentum. Since our last call we have made excellent progress on our strategic goals. Despite the headwinds in the telecom and datacom markets in the first quarter, we returned to strong sequential revenue growth. We rapidly ramped our 3D sensing revenue, received significant new orders for these products and made excellent progress on next generation design-ins at numerous customers with our VCSEL and edge-emitting lasers. We also received our first high volume order for edge-emitting lasers from an Asian-based consumer electronics customer. Since April of this year we have received more than $300 million of 3D sensing customer orders, which we began to ship in earnest over the past few months. Other notable milestones include achieving production readiness on our 100G transceivers in our new Thailand factory and surpassing 20,000 units of Twin TrueFlex ROADMs shipped since their introduction. These types of ROADMs are central to next-generation network architectures and the level of shipments shows our continued leadership in this area. This is indeed an exciting time at Lumentum. During the first quarter we shipped approximately $40 million of 3D sensing revenue. Revenue was limited by bottlenecks in equipment capacity which have since then resolved. We shipped more 3D sensing revenue in October then we did during the entire first fiscal quarter. We expect monthly shipments to increase throughout the end of the calendar year due to strong demand for our products. Yields to date have been consistent with our expectations. Noting that we only provide guidance one quarter at a time, we believe our 3D sensing revenue could remain at similar levels in our upcoming March quarter when compared to our second quarter based on customer feedback and order rates. Like many in the telecom and datacom industries, we had headwinds in the first quarter. China has been reducing inventory levels for several quarters now. As inventories decline to targeted levels, demand should increase. However, the timing of this recovery is uncertain. We are seeing increased demand from our Chinese customers on certain product lines. These include ROADMs and CFP2 datacom transceivers. Demand for other product lines, notably coherent components remains muted. As anticipated, demand from North America telecom customers was down sequentially in the first quarter as these customers also look to reduce inventory levels. In the second quarter however, we expect North American telecom demand to increase as inventory levels are worked down. Our datacom revenue declined by $5 million sequentially due to weaker than expected demand on 100G products. As highlighted earlier, our new Thailand factory is now production ready for certain 100G datacom transceivers. We believe our own factory will help with our cost competitiveness, capacity and time to volume. We will also be completing qualification of our short reach 100G transceiver products in the second quarter which will further expand our 100G datacom opportunity. Our commercial lasers revenue was down slightly quarter on quarter with an increase in kilowatt fiber lasers being offset by declines in other lasers. We have made significant progress in rectifying previously highlighted challenges in the production of our Gen 3 fiber laser. We expect our fiber laser business to be on a growth trajectory over the coming quarters. In our lasers business, we recently secured some significant new orders which has helped to drive our book to bill ratio to more than 1.5:1 for the quarter. Our photonics technologies are increasingly critical enablers of leading edge communication, industrial, and consumer applications. Demand continues to grow for bandwidth across the world's datacenters and communication networks. In addition to traditional communication service providers, cloud operators are increasingly driving new deployments of optical networks and submarine cables. Hyper scale datacenters continue to transition to 100G. We continue to make excellent progress with our ROADMs globally and we believe our new product pipeline will further our leadership position over time. In addition to capturing a large share of the initial network deployments this year in China, we are now sampling new advanced ROADMs specifically designed for China's next generation networks. We believe this positions us extremely well as the ROADM supplier of choice both in the near-term as well as for longer term in China. We expect China ROADM growth will be a meaningful growth driver for Lumentum in the coming years. Manufacturers around the world are increasingly using advanced laser-based techniques to increase productivity and precision and to enable new processes. Leaders in next-generation consumer electronics, virtual and augmented reality, as well as the automotive industry are looking to laser-based 3D sensing to enhance capabilities and enable new applications. Our investments in new products and technologies position us very well for all of these future trends. At Lumentum, we are focused on accelerating the speed and scale of cloud networking, advanced manufacturing, and next-generation 3D sensing applications with our photonics technologies. Our strategy to invest in growing markets, to develop the best products and technologies and to foster close relationships with market-leading customers is succeeding and makes the future bright at Lumentum. I will now turn it over to Aaron for more details on our financial results and our guidance for the second quarter of fiscal 2018.
Aaron Tachibana: Thank you, Alan. Net revenue for the first fiscal quarter was $243.2 million which increased 9.2% sequentially and declined 5.8% compared with the same period last year due to softer telecom demand. GAAP gross margin for the first quarter was 28.2%. GAAP operating margin was 1.1% and GAAP diluted net income per share was $0.11. Our first quarter non-GAAP gross margin was 34%, increased 110 basis points sequentially and declined 20 basis points compared with the same period last year. Non-GAAP operating margin for the first quarter was 11.8% and increased 260 basis points sequentially. Increase in operating margin was primarily due to the 110 basis point increase in gross margin from favorable mix and also improved operating leverage from the increase in volume. Non-GAAP earnings per share was $0.43 based on a fully diluted share count of 64.5 million and included $700,000 of interest income and a $1.5 million tax expense. Now for some additional detail. Optical communications revenue was $207.9 million, an increase of 11% sequentially and a 5% decline compared with the same period last year. During the quarter we significantly ramped our consumer and industrial revenue which includes 3D sensing while both telecom and datacom declined sequentially. Telecom revenue at $110.4 million declined 8% sequentially and 33% compared with the same period last year. Datacom was $45.2 million and declined 10% sequentially and increased 2% compared with the same period last year. Consumer and industrial revenue at $52.3 million increased 217% sequentially and over 500% compared with the same period last year. The significant growth for consumer and industrial revenue came primarily from our 3D sensing ramp for consumer mobile applications. Optical communications gross margins at 34.7% increased 360 basis points sequentially, mainly due to the favorable mix of products as well as the sequential increase in volume for our 3D sensing products. Commercial laser revenue was $35.3 million, a decrease of 1.7% sequentially and a decrease of 11% compared with the same period last year. As Alan highlighted, we made progress on the production of our new Gen 3 kilowatt fiber laser and grew fiber laser revenue by 19% sequentially to $12.9 million. During the quarter, fiber laser production was constrained due to materials and therefore we were unable to satisfy our customer demand. First quarter commercial lasers gross margin was 30% and decreased percentage points primarily due to writing down excess and obsolete inventory from older generations of product. Looking forward to Q2, we expect commercial lasers revenue to increase approximately 20% with gross margins returning to the range of low to mid-40. Operating expenses totaled $54.1 million or 22.2% of revenue compared with last quarter of $52.8 million or 23.7% of revenue. R&D expense was $32.5 million and SG&A expense was $21.6 million. Our balance sheet remains strong exiting the first quarter with cash and short-term investments of $532.5 million. Capital equipment additions were approximately $26 million in the first quarter. Our investments in both facility improvements and equipment to bring up our manufacturing facility in Thailand accounted for approximately $15 million of the spending. Now on to our guidance for the second quarter of fiscal 2018, noting again that all projections are on a non-GAAP basis. We expect telecom and commercial laser revenue to increase sequentially. Additionally, our 3D sensing revenue will increase materially in the quarter. We project net revenue for the second quarter to be in the range of $345 million to $375 million with operating margins in the range of 21% to 23% and earnings per share to be in the range of $1.05 to $1.25. Now, I will turn the call back over to Chris to begin the Q&A session.
Chris Coldren: Thank you, Aaron. I would like to ask everyone to limit discussion to one question and one follow-up. Dan, let's begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Meta Marshall from Morgan Stanley. Meta, your line is open.
Meta Marshall: I just wanted to kind of get any, I know you guys mentioned having very little direction kind of out of China but just what is kind of the latest read that you are getting out of there from any visits or any visibility as you head into calendar year 2018, what you are expecting in that market and maybe just kind of timelines for ROADM deployments would be helpful.
Alan Lowe: I think in general as we said in the pre-comments, there is still inventory of certain products and I would say mainly in the coherent components for us. Other products are in fact being expedited, ROADMs for instance. I have been getting personal love notes from some of our customers in China to speed up delivery of ROADMs. So I think it's hard to say when the full recovery of everything or when the inventory will be totally burned off. But I do think they are doing a good job of reducing the inventories and I would expect that calendar 2018 to be up from 2017.
Meta Marshall: Okay. And then just a follow up question. There has obviously been a lot of reports about kind of breakage issues in the assembly of 3D sensing modules. And just to get a sense of, do you believe that you will have to kind of over-ship into kind of components or module builders in this cycle to make up for that breakage or are those kind of reports not correct at this time.
Alan Lowe: Yes. Meta, we can't comment on our customer's yield's or production volumes. It's just not appropriate. So I prefer not to comment at this time.
Operator: Your next question comes from the line of Michael Genovese from MKM Partners. Michael, your line is open.
Michael Genovese: I had a few questions. First of all on the quarter itself. Just specifically in the optical coms business. Was it there or was it in 3D sensing or was it across both where things were just a little bit lighter than what you expected going into the quarter, coming out of the quarter?
Aaron Tachibana: Yes. This is Aaron, Michael. In terms of softness, so again as we had indicated on the prepared remarks, there have been some inventory management from our customers, especially on the telecom side. And so in terms of the softness, a lot of it was in the communications space.
Alan Lowe: Yes. But I think as we went into the quarter, on our last earnings call we had expected to be able to produce more 3D sensing and as I talked about, we did have some bottlenecks that have been resolved. And so through the first quarter the demand was certainly stronger than what we had produced but we weren't able to get the product out that we had expected. And as I said also, that in the month of October, we shipped more in the entire first fiscal quarter, so those bottlenecks are resolved and I think we are in pretty good shape with respect to ongoing production of our 3D products.
Michael Genovese: So was 3D sensing about $40 million in the quarter, little bit less, a little bit more?
Alan Lowe: It was $40 million.
Michael Genovese: Okay. And can you talk about the gross margin trajectory there. I mean did they start lower and get better going into the next quarter and the quarter beyond.
Aaron Tachibana: So, Michael, in terms of the gross margins related to consumer and industrial, it's above our corporate average. So in terms of the production yields it's basically at our expectations so in terms of starting low, ending higher, there hasn’t been anything noteworthy there than what we would expect.
Michael Genovese: Okay. Last question for me. You said that, I guess, in March we should think about a consistent revenue level in 3D sensing with December. What about in June? You have got this Asian edge-emitting customer coming in but I assume your primary, initial customer will be down in June. So just sort of big -- taking broad swaps at it, since it's not guidance, how should we think about June for that business?
Aaron Tachibana: Yes. So we typically don’t provide long-term guidance Michael in terms of the customer orders that Alan had mentioned in the prepared remarks. So it's exciting for us that we have received something with the edge-emitting technology. But in terms of what exactly those volumes will look in the June quarter, we are not prepared to really comment on that at this time.
Michael Genovese: Okay. Final clarification actually here. Just in terms of your guidance for 2Q versus 1Q? Should we think that the base business, lasers and optical coms are flat and that any sequential change is entirely driven by 3D or are there puts and takes in the base business as well.
Alan Lowe: Yes, as we said in the prepared remarks, we expect lasers to be up approximately 20% sequentially from Q1 to Q2 and a corresponding recovery in gross margins back to where we expect lasers to be. We also expect telecom to be up in from Q1 to Q2. So it's not all coming from growth in 3D sensors.
Michael Genovese: Okay. I am sorry for so many questions, I will pass it after this, I promise. But it's a pretty big range on the revenue guide. Is the range primarily attributable to 3D and what would determine whether we are at the bottom or the top of the range?
Alan Lowe: I think the range is big because the increase from Q1 to Q2 is big and pinpointing the amount of growth between Q1 and Q2 there is uncertainty on the downside as well as on the upside. So our ability to produce 3D sensing or level of China ROADM deployments picking up and North America, I think there is variability in all of that. That’s why we have tried to factor it into the guidance for revenue.
Operator: Your next question comes from the line of Patrick Newton with Stifel. Please go ahead.
Patrick Newton: Just to put a fine point on 3D sensing given all the puts and takes at datacom. Sounds like you are implying it's down, telecom up, lasers up, and then midpoint of guidance, I am getting to about $145 million, plus or minus in 3D sensing revenue for the December quarter. I wanted to make sure that that’s ballpark.
Alan Lowe: Well, I think we are going to avoid giving guidance specific to the product lines but I think you can take my comment about October revenue for 3D sensing being larger than the entirety of Q1 and extrapolate from there.
Patrick Newton: Good. And then I guess given your commentary on the March quarter being similar to December quarter levels. Is there any concern at your end of inventory overbuilds and is there any assumption built around on the competitive landscape. You definitely seem to indicate that you are not anticipating any material uptick of supply from competitors.
Alan Lowe: I prefer not to comment about competitors because I think we are expecting competitors to come online and produce some product. I can tell you that I am not concerned about short-term inventory buildup but given the pressure that we are under and the constant help that we are getting from our customers to produce more. So I think, just directionally, the March quarter seems like it's going to be in line with where we are in the December quarter from an output and demand standpoint.
Patrick Newton: Okay. And just one more, if I may, I guess for Aaron, is just on the margin profile of 3D sensing. You talked about how yields are progressing nicely. I think it was two quarters ago you guys had publicly stated that you anticipated margins to be greater than 50%. So I would assume that that is still the case and I think one can then throw backing in that that we should anticipate in the December quarter that your gross margin would be north of 40%. Are those all fair assumptions?
Aaron Tachibana: So in terms of the specific margins for 3D sensing applications, we never comment specifically on the amount or the percentage, Patrick, but in terms of it is about our corporate average. And for the December quarter in terms of what's implied here with our guidance. Yes, in terms of the 40% range in terms of somewhere around the midpoint is a fair assumptions.
Operator: Your next question comes from the line of Alex Henderson with Needham and Company. Please go ahead.
Alex Henderson: I was hoping we could go into a couple of sort of trajectory thoughts on 3D sensing. Are your orders growing faster as you look into the first quarter? Do you expect your orders to grow faster than your production? In other words, will you be able to work down backlog or will you be sustaining backlog as we come out of the first quarter? And is it possible that your backlog might actually increase as a result of the time or the ramp of some of those products.
Alan Lowe: I would say we don’t expect any major change in our backlog. The only variable I think is really where and when we start ramping in a meaningful way on the China-based consumer electronics customer that we mentioned in the pre-comments.
Alex Henderson: So do you have any sense of when that would feather in, would that be something you would be feathering in 2Qish timeframe or is that more beyond that? How should you think of the timing around that?
Alan Lowe: Well, I think we just want to add a proof point about the broad customer base and engagements that we have. I think that’s one of many that we are working with. And I think that you can expect that our customer base to continue to broaden through the calendar year and adding multiple customers by the end of calendar '18 to our 3D sensing portfolio.
Alex Henderson: So if I were to look at the additional new customers coming on stream over the course of '18, would that imply a continued sequential demand growth over time as those feather in. Is that the right way to think about it?
Aaron Tachibana: Yes. So, Alex, I think it could imply that and so as Alan did mention, having this initial edge-emitting customer as well coming in with orders, will bode well for a good healthy 2018 calendar '18. And the seasonality of these types of consumer applications do have peaks and valleys but in terms of what we are doing and being at the outset of these programs, could take away some of the lumpiness in '18 and '19. The way we look at it. It could be a trajectory that’s upward.
Alex Henderson: And just on the pricing side for these products. As I understand that your pricing is kind of locked in through calendar '18, is that correct?
Alan Lowe: We have price commitments for a part of '18 and certainly for all the orders that we have, those are certainly firm. And I would say that we are in the midst of negotiating with many of our customers for say the back half of '18 as well as into '19.
Alex Henderson: Two last questions, if I could. Can you just tell us whether ROADMs were flat down or up in the most recent quarter and whether you are expecting ROADMs to be up again in the December quarter.
Aaron Tachibana: Yes. They were down in the September quarter. We are expecting them to pick back up in December.
Alex Henderson: And then on the datacom side. Can you give us a little bit more granularity of what happened there? Is it a function of pricing or is it a function of volume? I know you said the 100G was a little weaker than you had expected but can you give us some sense of where that weakness metastasized?
Aaron Tachibana: I will think it's a combination, Alex. I think certainly we could sell more 100G datacom if we dropped our pricing and so I think from our perspective, the client side of telecom business is good. Margins are fine, pricing is more rational. Hyper scale as I have continued to say, is pretty tough. And so I would say it's a combination of us choosing not to lower the prices of hyper scale until we have our next generation product ready and that will be in calendar '18 and we are giving orders as customers need products or hyper scale type stuff. But we are pretty comfortable with the client side on telecom, both on CFP2, LR4, as well as QSFP28 LR4.
Operator: Your next question comes from the line of Joseph Wolf with Barclays. Please go ahead. Your next question comes from the line of Troy Jensen with Piper. Please go ahead.
Troy Jensen: Just, Alan, I understand the pricing on the VCSELs are fixed here for the near term, but going forward, can you talk about what you think ASP erosion is going to be in that product category? And then for most of us, we assume kind of, what 12% to 15% annual erosion for optical com. Do you think that the VCSEL business will be more or less than them?
Alan Lowe: You know, Troy, it's hard to say at this point in time because we have a myriad of different customers buying at the chip level or sub-assembly level. So ASPs will fluctuate by customer. But if you are talking about pure average selling price takedown for a given customer, I think it's a matter of demand and supply and how that plays out over the short-term. And I think at least for the foreseeable future there is a stronger demand then there is supply and so therefore prices won't come down as much as one would expect. Although these are large customers that have a lot of purchasing power so I would expect the prices to come down but at the same time I do expect our costs to come down as our volumes go up and we pre-negotiated that with some of our supply chain to make sure that as we go up in volume, our costs come down so that we don’t impact our margins as we look out quarters and years.
Troy Jensen: Okay. And just a follow up. I guess you made a comment about 1.5 book to bill for the industrial lasers. Was that all industrial lasers? Was that just fiber lasers and what drove such a big growth in the bookings?
Alan Lowe: It was a combination of both our solid state lasers as well as our fiber lasers. I think right now the semiconductor industry is driving strong demand for our micro-machining lasers. And as Aaron talked about, our inability to meet our fiber laser ramp demand has some pent up fiber laser orders that we are trying to get through in the next couple of quarters. But it's strong demand and that’s why we believe the trajectory of our lasers business overall will be going up over the next few quarters.
Operator: Your next question comes from the line of Simon Leopold with Raymond James. Please go ahead.
Simon Leopold: First, I wanted to maybe ask an earlier question in a different way. Trying to get a better understanding of how you get paid or when you get paid on the 3D VCSEL business. Do you get paid based on what you ship to the module assemblers or do you get paid based on what actually ends up ultimately in a phone. Is that something you could help us understand?
Alan Lowe: Yes. We have terms with our customers, not specific to 3D sensing but across the board that we get paid at certain amount of days after either we ship it or after they receive it at their dock or their country. So this is no different than our normal business in how we transact with our customers.
Simon Leopold: So to just clarify that. So if the yield falls out somewhere down the supply chain and it's not because of the VCSEL failing, you still get paid on that product. Correct?
Alan Lowe: Yes.
Simon Leopold: Great. Thank you for that clarification. I just want to come back on the ROADM business. You provided a little bit of commentary. I have a vague recollection that you were somewhat capacity constrained when that business was running in sort of the 60 million plus quarterly level. Just want to get a understanding of what your thoughts are in terms of capacity needs for that business. Thank you.
Alan Lowe: Yes. I think you are right. Your recollection was good. We were at 60 million plus a quarter, two quarters back and it was tight. I think we have been adding capacity but more importantly improving the yield to both our WSS modules as well as our [blade] [ph]. So I think we are comfortable with where we are from a capacity standpoint as China ramps up and I think it will ramp up in a meaningful way in '18. So I think we have the capacity to far surpass the $60 million a quarter. I think it’s just a matter of when that demand comes to fruition and every indication is from China that things were looking pretty good there.
Simon Leopold: Great. And just one last one. You talked about introducing some new products for datacom. Are those products oriented towards the QSFP28, PSM4 or CWDM opportunities, and if so are they non-hermetic platforms basically targeting the very low cost part of the market or some other form factor? Thank you.
Alan Lowe: Yes. I would say that the products we are introducing both this quarter as well as in calendar '18 are both CWDM4, non-hermetic type of low cost platforms, as well as our short reach VCSEL based SR4. So from 100 meters to 300 meters using parallel VCSEL arrays for 100G within the data center. So those were the products we were introducing in the short-term. We have cost reductions even on QSFP28 LR4s. So all new products are QSFP based and we have got a broad portfolio there. We are working on 400G at the same time and we are very pleased with the progress we are making there, but again that’s probably more of a 2019 meaningful contribution to our revenues.
Operator: Your next question comes from the line of Mark Kelleher with D.A. Davidson. Please go ahead.
Mark Kelleher: Most of mine have been asked and answered. I just wanted to go back to the fiber lasers for a second. You said that there were some constraints due to some materials issues there. Can you size that? Can you just kind of give us an indication of what that might have been had you not had that issue?
Aaron Tachibana: Yes. So in terms of fiber laser production issues that we have had, we brought out our Gen 3 version a few months ago. And in terms of trying to ramp it, we did have some constraints on specific materials, so we didn’t have all the equivalent sets of materials. In terms of what Alan had said in the prepared remarks, our book to bill was 1.5 to 1. So we did have more than just a few million dollars that we left on the table.
Operator: Your next question comes from the line of Doug Clark with Goldman Sachs. Please go ahead.
Doug Clark: I was just curious, to the extent that you all comment on kind of the economics or ASPs of an edge-emitter for 3D sensing versus what you are seeing in VCSELs today, if it's kind of above or below and by how much?
Alan Lowe: Well, with edge-emitters we actually do, in most cases, a small sub-assembly and put a bare chip onto a carrier and burn it and test it at that level. So in general, I would say it's probably same to a little bit higher ASPs per unit then we got for VCSELs where we sell typically today at the bare dye level. Margins should still be above corporate average.
Doug Clark: Okay. Great. That was really helpful. Thanks. And then you mentioned $300 million in orders. Based on your comments I just want to make sure that it's fair to assume that a vast, if not all of that, a vast majority if not all of that is coming from kind of the current large customer today or if there is component that other new products that are on the [com] [ph].
Alan Lowe: Yes. We prefer not to answer specific customer order rates and things like that.
Doug Clark: Okay. And then one on datacom. Would you comment on how large QSFP28 was in terms of revenues in the quarter? I believe last quarter it was around $24 million?
Aaron Tachibana: That was around $24 million last quarter. Q1 was tiny bit over $16 million.
Doug Clark: And I guess to ask a little bit more about that, the drop off. So you talked about pricing and price discipline there? Is it you are just not participating in certain wins because of pricing or was there actually a pause in demand by any of the hyper scale customer bases?
Aaron Tachibana: So there is tiny bit of both. So you can recall that over the last couple of quarters we had built up a lot of LR4 and CWDM backlog as we were fulfilling all of our CFP2 backlog. And that’s because both products share the same production lines or facilities. In terms of what we saw in Q1, the dynamics of the drop off here was tied to both. Our unwillingness to go and drop price to go take a lot of volume and then also there was a tiny bit of price erosion in some of the different business that we did fulfill. One was the [indiscernible].
Alan Lowe: Yes. But I would say that the mix, especially in the hyper scale, the demand is not as great as it was advertised to be and that makes pricing dynamics even tougher. So I would say the consumption of QSFP28 in hyper scale was down from expectation six months ago and we didn’t chase down the price.
Operator: Your next question comes from the line of Richard Shannon with Craig-Hallum. Please go ahead.
Richard Shannon: Maybe a first couple of quick ones on 3D sensing. Alan, can you say whether you are going to be able to ship to all your customers needs for the December quarter or not?
Alan Lowe: No.
Richard Shannon: Okay. That’s helpful. Also in 3D sensing, is the $300 million of orders, just to clarify, does that go through the end of the December quarter or is that further out?
Alan Lowe: It's further out.
Richard Shannon: Further out. Okay. Can you state how far your orders are going for 3D sensing currently?
Alan Lowe: I think most of those orders have request dates between now and early in the March quarter. [indiscernible] time for the product is, it's almost a quarter. So you would imagine that as we get within a quarter of -- the end of January, that those are the orders we are getting out.
Richard Shannon: Got it. Thank you for that. Couple of more questions. On the topic of ROADMs in China, I couldn’t see whether you are trying to imply something in your answers to some prior questions here, but do you have any expectations of timing as to when we see a large deployments of, I guess the current ROADMs or the next generation ROADMs that you are excited about.
Alan Lowe: Yes. I think we still sell a substantial number of ROADMs even today. They go into China but are shipped out of China as our customers are winning business outside of China. I would say that we are deploying ROADMs in China today. It's not massive but I would say that they are gearing up for it to be a meaningful part of our revenue growth expectations in calendar '18?
Richard Shannon: Okay. But you don’t have an expectation or more specific timing on that?
Alan Lowe: If I were to tell you that, I would be making something up.
Richard Shannon: Okay. Then don’t do that, that’s fair. Last quick question from me, can you help us -- so on earlier questions talking about the ASPs for the edge-emitter lasers for other 3D sensing applications. Can you give us a sense of the scale, the unit volumes of potential applications here? Obviously, it's lower than mobile is but can you give us a sense of what that might be?
Alan Lowe: Well, just for clarification. So what did we talk about in the script was edge-emitters for mobile devices and a mobile customer in Asia. So these could be of similar scale to other large consumer electronics customers.
Operator: Your next question comes from the line of Tim Savageaux with Northland Capital Market. Please go ahead.
Tim Savageaux: I have a question and a follow up. I will eschew the stream consciousness approach. First question is on the subject of consolidation within the optical communications sector. Given a couple of things. One, looks like you are going to have a 40% customer here on the December quarter. That’s a fair bit of concentration and I wonder your views towards managing that over time. And, two, you have obviously got a currency that’s relatively strong. I wonder if you might be able to kind of update your views on, especially as you reference pricing in a 100-gig datacom, kind of competition across the board on Lumentum's kind of viewpoint and interest in consolidation within the optical communications sector.
Alan Lowe: Sure. Let me address your comment about customer concentration. I think any time you launch a new technology, you have a lead customer but I feel very very comfortable with where are broadening that customer base for 3D sensing, both in the mobile application space as well as ARVR and in a few years autonomous vehicles. So I am very comfortable with where we are with regard to that. As far as consolidation in the industry, as I have said all along, consolidation is a good thing. I think you have to also have a willing buyer and a willing seller and we will see how things go out and we talk about it all the time when we determine when is the right time and what is the right target. But at this point in time we don’t have anything really to comment on other than to say that consolidation would be good.
Tim Savageaux: Okay. And my follow up really is with regard to potential on the 3D sensing side. How do you expect kind of unit volumes pricing and competition to combine to impact your market opportunity going forward. Which is to say, what we tend to hear as expectations for significant volume increases that your lead customers 3D content increases and moves to other devices. Is that consistent from your point of view and as you look at mixing in, you mentioned pricing for the back half of the year. I hope maybe you could relate 3D sensing pricing trends to web scale datacom pricing trends and tell us which is worse or which is better? But as you manage those factors and you mentioned new competitors coming in as well, do you expect to be able to kind of grow your business with your main customer from your kind of current 100% share level, even considering increased unit volumes when we factor in pricing and competition.
Alan Lowe: Well, I am not going to comment on whether we have 100% share or what our expectations are with any given customer. But I will say that our expectations with product pipeline that we have both with existing customers as well as new customers and the one we talked about, China based mobile manufacturer, gives me high confidence that the demand both in the short-term as well as long-term is going to continue to be very very solid and very strong. And I think that’s you have seen some of our competitors go out and buy capacity to be able to address this market and I think that’s healthy for the industry and it will have more and more consumer electronic customers designing in the types of products that we are making today and then therefore drive additional demand. So I think from our perspective, we are focused on continuing to drive our costs down and to continue to have the kinds of margins that we expect for investments that we have made for 3D sensing and we are pretty confident that that things look pretty good at this point in time.
Operator: Your next question comes from the line of Joseph Wolf with Barclays. Please go ahead. Your final question comes from the line of Dave Kang with B Riley & Co. Please go ahead.
Dave Kang: A couple of questions. First, did you give out the ASP of edge emitters? And second question is, regarding other customers that you are working with, are they for VCSELs or edge, or both?
Alan Lowe: Sorry, Dave. The first question was what?
Dave Kang: ASP of edge-emitters?
Alan Lowe: Yes. I think what we said in general terms going a bare dye is probably lower ASP selling an edge-emitter that goes on to a [sub-mount] [ph] in both cases and so therefore. But a lot has to do with the size of the chip, right. So we have edge-emitter customers that have large chips and their ASP is higher and we have ones that have smaller chips where the prices are lower. So it's really a function of what kind of power they are looking for from the edge-emitter and that drives the size of the edge-emitter and the ASP. So it's going to be a range of ASPs, but in general I would say for a similar sized chip, edge-emitters will be slightly higher priced but then also be at the next level of sub-assembly that we provide to the customer.
Dave Kang: So it sounds like there are multiple applications, not necessarily just the [indiscernible] is that correct?
Alan Lowe: Yes. We can't comment on the applications but I would say that we are working on many different applications. Our customers are pretty confidential and quite about what it is, but I can say that based on some of the customer expectations on power and that implies reach capability of the different devices we are working on. We are working on many different types of applications.
Dave Kang: So once again on my second question about other customers. So it sounds like you are working on both the VCSEL as well as edge-emitters? Is that correct?
Alan Lowe: Several of each, yes.
Dave Kang: Got it. And the last question is, what's the latest status on your ACOs?
Alan Lowe: Good question. We have been late to market with that product. We had samples from customers and actually came to the conclusion a couple of months ago that it was best to redirect those resources that we were working on, the first generation 100-gig, 200-gig ACO, and redirect them to next generation coherent components to get ahead. Our customers were fine with it, which tells me that’s the right decision we made. And so therefore we are really working on next generation stuff and whether it's ACO or DCO or the components, to really leapfrog the competition where we were significantly behind the lead guy there and they had gobbled up all the market share for quite some time. So we made a touch decision. I think it's the right decision. But we are really focused on next generation of coherent components and modules.
Operator: And we have no further questions at this time. I would now like to turn the call back over to Mr. Alan Lowe, President and Chief Executive Officer for his closing remarks.
Alan Lowe: Thank you, Dan. I want to thank our customers for their business and again thank our employees for their hard work in growing our business and putting us into an excellent position in the market. We are in the middle of a worldwide expansion of bandwidth. Photonics are increasingly becoming critical to manufacturers and to next generation high volume 3D sensing applications, making the future bright at Lumentum. We regularly discuss our business at investor relations events. These events are listed on our Web site in the investor relations section and are regularly updated. This concludes our call for today. We would like to thank everyone for attending and we look forward to talking with you again in another three months. Thank you.
Operator: Thank you to everyone for attending today. This will conclude today's call and you may now disconnect.